Operator: Welcome to the Uniti Group's Second Quarter 2021 Conference Call. My name is Karmen and I will be your operator for today. A webcast of this call will be available on the company's website at, www.uniti.com, beginning August 5, 2021 and will remain available for 14 days. At this time all participants are in a listen-only mode. Participants on the call will have the opportunity to ask questions following the company's prepared comments. The company would like to remind you that today's remarks include forward-looking statements and actual results could differ materially from those projected in these statements. The factors that could cause actual results to differ are discussed in the company's filings with the SEC. The company's remarks this afternoon will reference slides posted on its website, and you're encouraged to refer to those materials during this call. Discussions during the call will also include certain financial measures that were not prepared in accordance with generally accepted accounting principles. Reconciliations of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the company's current report on Form 8-K dated today. I would now like to turn the call over to Uniti Group's Chief Executive Officer, Kenny Gunderman. Please go ahead, Mr. Gunderman.
Kenny Gunderman: Thank you. Good afternoon everyone. Joining me on the call today is Paul Bullington, our Interim CFO. Uniti reported another strong quarter of results at both Uniti Leasing and Uniti Fiber. Demand for our fiber infrastructure remains very strong, fueled by growing tailwinds within the communications infrastructure industry. This demand was evidenced by consolidated new sales bookings approximately $1 million in MRR representing a sequential increase of over 80% from the first quarter of this year and one of the highest quarters ever for consolidated bookings at Uniti. As Slide 4 of our presentation illustrates, fiber is the mission critical connected tissue for virtually all current and future broadband delivery. We're seeing an acceleration of the virtualization of our society with 5G mobile broadband, fiber-to-the-home, fixed wireless, satellite and other technologies enabling greater usage of video conferencing, e-learning, telemedicine and remote work environments, all resulting in an overall continued surge in broadband traffic. Turning to Slide 5, Uniti is one of the largest independent wholesale fiber providers in the country and our dense world-class fiber network is at the nexus of each of these trends. In fact, 90% plus of all the business we're generating today, including Lease-Up is wholesale in nature, and we expect that to continue in the future. We have a growing portfolio of small cells, connected buildings, macro towers, and homes passed, and the need for more investment by our customers in 5G networks and other technologies is also growing. For example, our wireless carrier customers are particularly active in an effort to keep their underlying infrastructure ahead of the explosive growth in mobile broadband. These carriers are increasingly looking for 10-gig upgrades on our macro tower backhaul circuits, while simultaneously continuing to push for backhaul to new macro towers and CRAN, small cell deployments in our metro markets. These investments provide Uniti with the unique opportunity to expand our networks with anchor economics, setting the foundation for attractive future Lease Up and further validating the shared infrastructure benefits of fiber. Our non-wireless carrier customers such as the FAANG group and national MSOs are also active as they expand their cloud-based services. Their insatiable demand for high-capacity long-haul routes, in particular, continues to accelerate. Our residential and enterprise focused carrier customers continue to be active in driving broadband to more and more consumers. Our dense metro networks today passed 250,000 buildings and we're aggressively building deeper into commercial parks and neighborhoods through fiber-to-the-home and fixed wireless bills. Over the past three years, we've built almost 10,000 route miles of new fiber and we expect that number could increase significantly over the next three years. We've amassed this valuable hard-to-replicate portfolio in only six years through our proprietary M&A efforts and organic sales strategy and our portfolio is growing every day. As evidence on Slide 6, Uniti is demonstrating the economics of an attractive shared infrastructure model that continues to drive meaningful returns. As a reminder, Uniti believes that a healthy mix of wireless and non-wireless bookings and installs represents the most effective way to drive optimal, profitable economics. Uniti requires or builds new fiber largely for our wireless customers with attractive long-term anchor cash flow yields in the mid to high single-digits. We're also successfully adding additional tenants with very high margins and minimal CapEx, resulting in a cumulative cash flow yield today of approximately 18% and almost threefold increase from the anchor yield and all within the past five years. Turning to Uniti Fiber during the quarter, small cell revenues grew 27% from the prior year, while enterprise revenue grew 16%, demonstrating that we're choosing good anchor markets to expand our network in a disciplined manner, and that we're executing well on follow on Lease Up. Uniti Fiber's sales bookings in the second quarter were approximately $0.8 million of MRR, an increase of almost 70% from the first quarter and our highest level of bookings in over a year. In terms of mix, 65% of our sales bookings came from non-wireless customers, almost 40% of the Lease Up of MRR sold over the past 12 months occurred in the second quarter alone as we continue to ramp-up our Lease Up efforts within our southeast markets. Uniti Fiber installed $0.6 million of MRR during the second quarter with 75% of gross installs related to non-wireless opportunities, 20% related to wireless and 5% related to bandwidth upgrades. Importantly, for the first time in Uniti's history, our time to install new circuits has dropped below 90 days. This is a terrific accomplishment that really helps to improve customer satisfaction as well as profitability for the company and as a result of largely selling on-net services to our customers. Turning to Slide 7. At Uniti Leasing, we continue to actively market over 3 million strand miles of fiber that is available to lease to third parties. Our sales pipeline today stands at a little over $1 billion of total contract value, which translates to about $65 million of potential annual recurring revenue reflecting the continued significant interest from our wholesale customers. Over 70% of the deals utilize fiber we acquired as part of the settlement with Windstream, and our success is the result of less than one year of actively marketing this fiber. We continue to be successful in monetizing our portfolio of assets and to date have executed on opportunities that represent total remaining revenues under contract of $805 million with an average contract term remaining of over 14 years and incremental cash flow yields of approximately 11%. Turning to Slide 8. Our growth capital investment program continues to yield positive results. As a reminder, our tenant has invested over almost $1 billion of tenant capital improvements in our network over the past six years, and that investment is expected to continue. Uniti has now begun investing its own capital and long-term value creating fiber largely focused on building highly valuable last mile fiber, including in commercial parks and fiber-to-the-home. Collectively, these investments have resulted in around 20% of the legacy copper network being overbuilt with fiber and almost 10,000 route miles of new fiber constructed. Both of those numbers are expected to increase materially in the coming years. We believe our GCI program is an attractive investment for our stockholders providing a secure near-term cash flow yield, while simultaneously future proofing our network for renewal. With that, I'll now turn the call over to Paul.
Paul Bullington: Thanks, Kenny. Good afternoon everyone. As Kenny mentioned earlier, we delivered another strong quarter of results at both Uniti Fiber and Uniti Leasing. Our guidance remains mostly in line with prior outlook, however, we are tracking ahead of plan year-to-date, and we now expect adjusted EBITDA and AFFO per diluted common share for full-year 2021 to be closer to the high end of our guidance range due to the strength of our second quarter and the expectation that strength will continue into the second half of 2021. However, we are not adjusting the mid-point of our 2021 outlook as there remains the possibility that some contractual revenue could slip into the first quarter of 2022. During the quarter, we closed our strategic OpCo/PropCo transaction with Everstream. As part of the transaction, we recorded a pre-tax book gain of $28 million relating to the partial sale of our Northeast operations and the sale of certain dark fiber IRU contracts. The gain is excluded from both adjusted EBITDA and AFFO. Please turn to Slide 9, and I'll start with comments on our second quarter. We reported consolidated revenues of $268 million, consolidated adjusted EBITDA of $216 million, AFFO attributed to common shares of $103 million and AFFO per diluted common share of $0.41. Net income attributable to common shares for the quarter was $49 million or $0.20 per diluted share and includes the $28 million pre-tax gain on sale, I mentioned earlier, related to the Everstream transaction. At Uniti Leasing, we reported segment revenues of $196 million and adjusted EBITDA of $192 million, up 6% and 5% respectively from the prior year. Accordingly, Uniti Leasing achieved an adjusted EBITDA margin of 98% for the quarter. The year-over-year growth reflects straight-line rent recognition under the Windstream MLAs and GCI investment subsequent to our settlement agreement, the dark fiber IRU contracts we acquired from Windstream as well as annual lease escalators. During the second quarter, Uniti Leasing deployed approximately $50 million towards growth capital investment initiatives with almost all of the investments relating to the Windstream GCI program. These GCI investments added around 1,600 route miles and 56,000 strand miles of valuable fiber to Uniti's own network across 13 different states. As of June 30, Uniti has invested $177 million of capital today under the GCI program with Windstream, adding around 5,000 route miles and 178,000 strand miles of fiber to our network. These investments will be added to the master leases at an 8% initial yield at the one-year anniversary of Uniti making such investment. They are subject to 0.5% annual escalator and results in near 100% margin. The investments we have made today will ultimately generate approximately $14 million of annualized cash rent. At Uniti Fiber, we turned over 150 LIT backhaul dark fiber and small cell sites for our wireless carriers across our Southeast footprint during the second quarter. These installed at an annualized revenues of approximately $1 million. We currently have around 1,200 LIT backhaul, dark fiber and small cell sites remaining in our backlog that we expect to deploy within the next few years. This wireless backlog represents an incremental $10 million of annualized revenues. Uniti Fiber revenues of $72 million during the quarter were in line with our expectations. As I mentioned earlier, we closed the Everstream transaction on May 28 and the results from our Uniti Fiber Northeast operations that were sold as a part of the transaction will no longer be included in our financials from that date. The impact in the second quarter from the sale of the Northeast operations was approximately $2 million in revenue and $1 million in adjusted EBITDA. Adjusted EBITDA of $29 million during the quarter was higher than expected due to lower operational and maintenance costs. Adjusted EBITDA margin for the quarter was 41%, representing a 480 basis point improvement from the prior year due to the lower cost, I just mentioned, and our continued emphasis on higher margin recurring revenue. Uniti Fiber net success-based CapEx was $37 million in the second quarter, consistent with our expectations. We also incurred $2 million of maintenance CapEx or about 3% of revenues. Please turn to Slide 10 and I will now cover our updated 2021 guidance. We're revising our prior guidance primarily for the impact of the gain on sale of operations and income tax expense related to the Everstream transaction, the impact of transaction related and other costs incurred to date and revised estimates of interest expense. Our current outlook excludes future acquisitions, capital market transactions, and future transaction related and other costs not specifically mentioned herein. Actual results could differ materially from these forward-looking statements. Our current full-year outlook for 2021 includes the following for each segment. Beginning with Uniti Leasing, we continue to expect revenues and adjusted EBITDA to be $784 million and $766 million respectively at the mid-point representing adjusted EBITDA margins of approximately 98%. Revenue and adjusted EBITDA each include $26 million relating to the straight-line rate associated with the Windstream master leases and GCI investments. Our outlook reflects $210 million of net success based CapEx at Uniti Leasing at the mid-point of our guidance, of which $200 million relates to estimated Windstream GCI investments. Most of these markets are similar to our own Tier II, Tier III markets, providing Windstream with substantial growth opportunities over time. As Slide 11 highlights, non-Windstream revenues and adjusted EBITDA continue to grow at a healthy pace, and are expected to be about $55 million and $42 million respectively, up 27% and 17% from 2020 levels. This includes the assets in dark fiber IRU contracts we acquired from Windstream, where the revenue is diversified across multiple third parties, and the dark fiber IRU leases that are part of the Everstream transaction. Turning to Slide 12, we expect Uniti fiber to contribute $305 million of revenues, and $118 million of adjusted EBITDA representing a margin of 39% this year at the midpoint of our guidance, which is 300 basis point improvement from last year. As we pointed out in our earnings call last quarter, Uniti Fiber's outlook is impacted by the sale of our Northeast operations as part of the Everstream transaction and the winding down of our non-core construction business. Adjusting for the impact of these two items, revenue and adjusted EBITDA for 2021 at Uniti Fiber are expected to increase by 6% and 10% respectively from the prior year. Net success based CapEx for Uniti Fiber this year is still expected to be $125 million at the mid-point of our guidance. Turning to Slide 13. For 2021, we continue to expect full-year AFFO to range between $1.61 and $1.65 per diluted common share with a mid-point of $1.63 per diluted share. On a consolidated basis, we expect revenues to be $1.1 billion and adjusted EBITDA to be $852 million at the midpoint. Our guidance contemplates consolidated interest expense for the full year of approximately $397 million, excluding any deferred financing costs write-offs and premiums paid relating to early repayment of our debt. Reported interest expense in 2021 will include an additional $44 million relating to the write-off of deferred financing costs and premiums paid on the early repayment of our 8.25% senior unsecured notes and 6% senior secured notes due 2023. Corporate SG&A, excluding amounts allocated to our business segments, is still expected to be approximately $42 million, including $10 million of stock-based compensation expense. We continue to expect weighted average diluted common shares outstanding for full year 2021 to be around 263 million shares. As a reminder, guidance ranges for key components of our outlook are included in the appendix to our presentation. Turning now to our capital structure, at quarter end we had approximately $574 million of combined unrestricted cash and cash equivalents, and undrawn revolver capacity. Our leverage ratio stood at 5.65 times based on net debt to annualized adjusted EBITDA. On August 3, our board declared a dividend of $0.15 per share to stockholders of record on September 17, payable October 1, which is our current estimate of the maximum amount allowed under our current debt agreements. I'll now turn the call back over to Kenny.
Kenny Gunderman: Thanks, Paul. Turning to Slide 14. Before opening up the call for Q&A, I'd like to take a moment to comment on Uniti's public market valuation. We get questions regularly from investors and analysts about how we think Uniti should be valued given the unique nature of parts of our business. We believe there is a material disconnect between how the public market values Uniti's equity and our intrinsic valuation. We believe our scale high-performing fiber business, which includes Uniti Fiber and non-Windstream operations at Uniti Leasing, should demand 15 times to 20 times cash flow multiple based upon substantial public -- private market comps. Our attractive economics, which includes 95% recurring revenue, monthly churn of 0.2%, meantime to deliver of less than 90 days, companywide net success-based capital intensity of 30% and cash flow growth of 5% to 10% are evidence of the quality of our platform relative to other fiber businesses. Using the mid-point of this range, our remaining business is being valued at a 14% yield or roughly 7 times cash flow multiple. This 7 times cash flow multiple compares to an 11 times to 12 times implied cash flow multiple from the valuation we received in 2015 as part of the original spin-off from Windstream, and the refreshed valuation we received in 2020, in connection with Windstream's emergence from bankruptcy. Both of these valuations were performed by separate and independent third-party evaluation firms. Further, Windstream exited bankruptcy at a roughly 3.75 times cash flow multiple. And when combined with an 11.5 times multiple for our infrastructure, the resulting blended multiple of 6.5 times is in line with other publicly traded [indiscernible]. This valuation is only a jumping off point as market-based cops suggest even greater upside since our leased streams have never been disrupted and ever repeatedly been proven as a priority payment. In closing, the value and strategic interests in 5G, fiber, small cells and now fiber-to-the-home has never been greater and Uniti represents a unique portfolio of all of these infrastructure assets. With that, operator, we are now ready to take questions.
Operator: Thank you. [Operator Instructions] First question is from Phil Cusick with JP Morgan.
Philip Cusick: Thanks guys. Two, I guess, Kenny to start, if you – if a company believes your shares are cheap then what's the next steps to you? Are you willing to borrow, to buy some shares? Would you consider selling assets to buy shares or do you engage with the private equity company, certainly there is a lot of private equity chasing fiber assets today? What are those conversations look like?
Kenny Gunderman: Hi, Phil. Yes, those are all the right questions, and frankly some of the questions and the dialogue that we hope to spur from this page and this framework. But yes, look I – we've said for some time that we think we're undervalued. We've said for some time we think the portfolio of our assets and just the core predictable performance of our underlying operations are underappreciated. So we've continuously thought that and look for ways to unlock that value. I think, for sure, we need to continue to execute and continue to grow both organically and inorganically, but I think especially in this environment whether it's just the industry as a wash with capital, we also have to look for other ways to lock in value as opposed to just talk about it theoretically. And I think there are a number of different ways to do that. I mean, we could look at securitization of the leases. We could look at monetizing a portion of the leases through JVs or selling interests or other things including some of the things you mentioned. So, these are all things that we're leaning into. But with all that said, we think it's very important for our investors, especially our public market investors to understand a framework for looking at value for Uniti. And then we can all haggle over what the right assumptions are, but having the right framework to look at it because we do get a lot of questions about a good way to look at it and given the unique nature of our business we think leaning into this a little bit more now is the appropriate thing to do.
Philip Cusick: Okay. And then, on the operational side, I guess, it's not. But we've talked a number of times in the past about deal pipeline, there is a lot going on. I think this is the same question I may have asked three months ago, but you've talked about, hey, it took a year last time to get things up and running, that's kind of been nearly a year at this point. What's the status of that pipeline?
Kenny Gunderman: Yes. Phil, you can beat everybody else to that question. So, thanks for asking it. And nothing's changed in our strategy…
Philip Cusick: Somebody was going to…
Kenny Gunderman: We're still not quite to the one year anniversary of the emergence. So, I would just encourage our investors to be patient. We're still working very hard on developing the funnel. And I would encourage investors to look back at our track record of being disciplined, not setting artificial deadlines, but at the end of the day being very successful at executing on acquiring assets and businesses at attractive multiples despite a frothy market and also at the same time finding ways to monetize non-core assets at very attractive premium multiples. So, I think, we've got a good track record. We've been able to demonstrate it over a six-year period. We've not set artificial deadlines, but we're working very hard at it, and we've got a very nice funnel that's developing, continuing to develop.
Philip Cusick: Thanks, Kenny.
Operator: Thank you. Our next question is from Frank Louthan with Raymond James. Oh, your audio – Frank, please check your audio. We cannot hear your question. All right. Please re-queue in the Q&A. I'm going to continue with the next question from David Barden from Bank of America.
David Barden: Hi, Kenny. Thanks for taking the question. So, I guess, I got two, one kind of big picture, one small picture. So, I guess, I'm going to follow up on Phil's question. So, I mean, if we reverse engineer this, right, you guys went through this process with Windstream and the courts and got the lease kind of certified in fact as a lease for the core assets, in a lot of ways I view it as kind of a super senior secured kind of security, and you've kind of litigated it to the nth degree, $692 million of a 10% yield is basically $7 billion. The fiber business is effectively free inside Uniti today. And so, the bigger picture question is why are these two businesses, one business like? Why do we just separate them? And just kind of create value right away rather than kind of waiting to do a private negotiation with a private entity. Let's just break it apart. And the second question is related to the pipeline on leasing you guys shared – in the footnotes it says there's 18 million of the roughly 65 million and annualized revenue is related to one particular IRU deal. What is the value that IRU deal versus 1.1 billion in total pipeline revenues that you guys disclosed? Thanks.
Kenny Gunderman: Yes, David, on that second question we'll probably come back to you on that one. I'm pretty sure, I know which one it is and I think Paul does too, but in terms of the specific numbers we'll come back to you on that. But it was one of the large anchor IRUs that we sold when we first took over the network and it was with one of the large national MSOs. In terms of your first question again I think those are all the right questions and good observations and some of the things that we're thinking about. I do think these two businesses together do make sense however that the network that we leased to Windstream provides a substantial amount of valuable fiber and capacity for Uniti Fiber. We use that network and we're leasing it up through Uniti Leasing. And in a lot of cases, the networks that we're selling are – network solutions that where we're selling some Uniti Fiber – fiber, we're selling some of the Windstream fiber that we got in the settlement. We're selling some of the fiber we got from Sapphire. So, there's strategic value in keeping all of this together. But at the same time some of that can be accomplished through other means, if there were some value accretive ways to separate or to lock-in some of these values. So, all things we're thinking about and I think your line of thinking in terms of the value and sort of getting Uniti Fiber for free so to speak at these prices is right.
David Barden: Kenny, if I could follow up just one more. So, we heard over the course of the last couple weeks, Crown talking about how carriers had kind of pivoted from small cell densification to more macro C-band deployments and we're reallocating capital, actually defunding small cells to fund more kind of macro geographic builds. And also we heard from SBA that the DISH is actually doing a much more broad geographic build than simply the Las Vegas market announcement that they made earlier. And obviously, you have a strategic relationship with them. Are you seeing an acceleration in the activity level either in terms of conversations, funnel, contractual signings that sort of thing contributing to this kind of record or new record monthly recurring revenue billings in the quarter? Or is that still to come?
Kenny Gunderman: Both, the first our – we're expecting an acceleration in the second half of the year on bookings. A lot of our expected – we're expecting a pickup in general at the beginning in the second half of the year, so that was something we expected coming into a year. But DISH, we've been extremely active with DISH. Frankly, much more so than I thought and I think even what our sales folks thought coming into the year and it's accelerating. And I think it is macro related, no small cell activity, but macro related as you alluded to and we expect that to continue at least for the foreseeable future. On small cells, again, we don't have a huge small cell portfolio. It's growing. It grew at 27% this quarter year-over-year, so growing off a small base. And as we've always talked about and you know David we believe when small cells do come to our markets, we're going to have a first mover advantage there in the Tier II-ish and III-ish markets, so we expect that. But with that said, we have seen some of the carriers pull back on small cells and reprioritize macros in return. And that's C-band related. It's 10 gig upgrade related. But we don't – we haven't seen – I wouldn't say we've seen small cells fall out of our funnel. I think they've just been pushed out in terms of timing. Now, of course, that always means there's greater risk to them staying in the funnel, but at least for now we're not taking anything out of our overall forecast. They've just been pushed out in terms of timing.
David Barden: Got it. Okay, thanks guys.
Operator: Thank you. Our next question comes from Frank Louthan with Raymond James.
Frank Louthan: Great. Thank you very much, one quick thing in the quarter. The asset sale have any – Everstream have any impact on revenue EBITDA in the quarter, what was that the timing of that? And then is there – what do you think about opportunities with any of the RDOF companies? Some of the startups there to be part of their bills, I think that's going to be an opportunity for you guys going forward.
Kenny Gunderman: Hi, Frank. Good to have you back and I'll take the second one and then Paul can take the first. But yes, I think, a number of our current customers, whether it would be sale leaseback customers like Windstream or CableSouth or others, our RDOF recipients, large RDOF recipients and what – and we think what that means is greater investment in the edge of the network and therefore greater need for the middle mile and ultimately the backhaul on our network. So we – and we've already seen that. I mean, I think it's going to lead to just greater traffic, excuse me, coming from those customers on the network. We've also seen for non-customers – companies who were RDOF recipients, who are currently not customers, we've been having some good dialogue with them about them using our network as jumping off points for their RDOF bills because as you know many of these bills are in more rural areas and that's where a lot of our network goes. So it's a great jumping-off point for many of these customers. I can't give you a sense yet, Frank, for how big of an opportunity it is for us, but I do think it's an opportunity and I certainly don't think it's a competitive threat. On the margin, we may have some fiber or some additional competitors in certain markets, but I think the benefit to us outweighs the additional – outweighs any competitive threat. Paul, do you want to comment on that Everstream question?
Paul Bullington: Yes. Sure, Frank. Yes, I'll take that. So, yes, the sale of our Northeast operations to Everstream did have an impact on the quarter. It closed on May 28. So, it basically had one month of impact on our financials and the dollar amounts at $2 million impact on revenue and $1 million impact on adjusted EBITDA.
Frank Louthan: All right, great. And one quick follow-up, you mentioned Edge and so forth. Would you guys ever consider building small Edge data centers as part of your network and you branched out into towers at one point? So, is that something you would consider for growth as part of your infrastructure portfolio? Or should we just pretty much think of you guys more on the fiber network side going forward?
Kenny Gunderman: Frank, we are considering that. And as a reminder look, we still have macro towers. We're obviously building small cells and we're actually developing – have developed a prototype and even a business case around what you're calling Edge data centers. We call them something different, but it's really just pods at the edge of the network. And that's a result of our carrier customers asking for it in certain markets. And so, again, I can't give you any sense of how big of an opportunity that is, but when you think about it, we're in a market with the fiber network. We've got boots on the ground. We're a natural extension – a natural extension of that network is adding some pods on the edge that in effect serve as Edge data center. So that is something that we're doing and I think something that we'll probably see more of in the coming quarters and years.
Frank Louthan: All right, great. Thank you very much.
Operator: Thank you. Our next question comes from Simon Flannery with Morgan Stanley.
Simon Flannery: Great, thank you very much. Just following up on the – at RDOF, you've got a lot of money set aside in the infrastructure bill. Kenny, I was wondering if you see any opportunities around leveraging some of those funds over the next several years? And then on the MRR, it's nice to see that the bookings coming through. To what extent does that largely run on your existing network? Or is there much CapEx associated with those new bookings?
Kenny Gunderman: Hi, Simon. On the first question, I think, yes – so we're proponents of the infrastructure bill at least the part related to communications infrastructure. We're excited about it. I think it's another tailwind in our industry whether it's just bipartisan support for $50 billion to $100 billion of additional investment in fiber. And we think a lot of that's going to be directed towards more rural areas or suburban areas, which again is where our network is. So, we're not going to be direct recipients of that funding or at least we don't think so, unless something changes, but we don't think we will be. But we will be a derivative recipient through our customers and our customers investment for the reasons I said earlier related to RDOF. So, we just think it's another example of the continued sort of steady pace of federal and state subsidy for investment in our space, which we're beneficiary of. On the bookings question, I'll comment and Paul can jump in, but it's a mix. It's a very strong quarter, very strong frankly start to the third quarter based on early numbers I've seen for July. And it's a good healthy mix of wireless including wireless anchor builds and wireless lease up. In addition to enterprise and regular wholesale, the vast majority of that is on our existing network and/or it's being built off of our existing network. So if we're building new fiber, it's going to be connected to the existing network. So it's coming in at very – what we consider attractive incremental yields and we demonstrate those yields early on in our presentation. The initial anchor yields of 5% to 10% and then getting up to the near 20% blended yields. We continue to see that in our book of business and in our new bookings that are coming on.
Simon Flannery: So what does that do to in capital intensity in the fiber business…
Kenny Gunderman: I think…
Simon Flannery: …into 2022 and beyond?
Kenny Gunderman: Yes, it's going to continue to decline as we forecasted. We are still managing that number down. So what we're – the bookings levels that we're currently at and frankly that we see continuing are going to be a mix of those on-net, greenfield – greenfield build and near-net and it's all going to result in what we think is a steadily declining capital intensity.
Simon Flannery: Thank you.
Operator: Thank you. And this concludes our Q&A session for today. I would like to turn the call back to management for his final remarks.
Kenny Gunderman: Thank you. We appreciate your interest in Uniti Group and look forward to updating you further on future calls. Thank you for joining us today.
Operator: Thank you. And this concludes today's conference call. Thank you for your participation and you may now disconnect.